Operator: Good morning everyone and welcome to the STERIS plc Third Quarter 2024 Conference Call. [Operator Instructions] Please also note today's event is being recorded. And at this time, I'd like to turn the floor over to Julie Winter, Investor Relations. Ma'am, please go ahead.
Julie Winter: Thank you, Jamie and good morning, everyone. As usual, speaking on today's call will be Mike Tokich, our Senior Vice President and CFO; and Dan Carestio, our President and CEO. And I do have a few words of caution before we open for comments. This webcast contains time-sensitive information that is accurate only as of today. Any redistribution, retransmission or rebroadcast of this call without the expressed written consent of STERIS is strictly prohibited. Some of the statements made during this review are or may be considered forward-looking statements. Many important factors could cause actual results to differ materially from those in the forward-looking statements, including, without limitation, those risk factors described in STERIS' securities filings. The company does not undertake to update or revise any forward-looking statements as a result of new information or future events or developments. STERIS' SEC filings are available through the company and on our website. In addition, on today's call, non-GAAP financial measures, including adjusted earnings per diluted share, adjusted operating income, constant currency organic revenue growth and free cash flow will be used. Additional information regarding these measures, including definitions, is available in our release as well as reconciliations between GAAP and non-GAAP financial measures. Non-GAAP financial measures are presented during this call with the intent of providing greater transparency to supplemental financial information used by management and the Board of Directors in their financial analysis and operational decision-making. With those cautions, I will hand the call over to Mike.
Mike Tokich: Thank you, Julie and good morning, everyone. It is once again my pleasure to be with you this morning to review the highlights of our third quarter performance. For the quarter, constant currency organic revenue increased 10% driven by volume as well as 270 basis points of price. Gross margin for the quarter increased 50 basis points compared with the prior year to 43.6%. Price more than offset continued material and labor inflation in addition to the negative impact from currency. EBIT margin decreased 80 basis points to 23.1% of revenue compared with the third quarter last year. The anticipated increase in our year-over-year incentive compensation expense, along with the mix shift in operating income from the AST segment to the Healthcare segment impacted EBIT margins. We anticipate that the mix shift in operating income from AST to Healthcare will continue in the fourth quarter. The adjusted effective tax rate in the quarter was 22.6%. Net income in the quarter was $220.9 million and adjusted earnings were $2.22 per diluted share. Capital expenditures for the first 9 months of fiscal '24 totaled $268.8 million while depreciation and amortization totaled $430.8 million. Debt declined slightly to $3.3 billion in the third quarter. Total debt-to-EBITDA at quarter end was approximately 2.2x gross leverage. Free cash flow for the first 9 months of fiscal 2024 was $457 million compared with $262.8 million for the first 9 months of fiscal 2023. The fiscal 2024 increase was driven by higher earnings and declines in cash used for tax and compensation-related payments as well as a decline in capital expenditures. With that, I will turn the call over to Dan for his remarks.
Dan Carestio: Thanks, Mike and good morning, everyone. Thank you for taking the time to join us to hear more about our third quarter performance and our outlook for the rest of the fiscal year. As you heard from Mike, our third quarter continued the momentum we have experienced in our Healthcare segment in the past few quarters and we also saw a nice improvement in Life Sciences. Overall, we are pleased with our performance. We continue to expect that our Healthcare segment will outperform our original expectations for the fiscal year, offsetting macro challenges impacting demand in our other segments. Looking at our segments; healthcare constant currency organic revenue grew 12% in the quarter. Supporting that performance, we had double-digit growth across capital equipment, consumables and service again this quarter. This is driven primarily by procedure volume rebound in the U.S. as well as price and market share gains. As anticipated, backlog continues to normalize as we are shipping at a faster pace than new orders are coming in. Remember, our goal is to get back to historic production lead times and continue to meet customer demand. Speaking of demand, capital equipment orders in the Healthcare segment grew double digits in the quarter. Turning to AST; constant currency organic revenue grew 4% which was below our expectations. While we have continued to see more normalized volumes in the U.S. for medtech, outside of the U.S. remains softer than anticipated. In addition, bioprocessing volumes continue to contract. Until we have more clarity, we are taking a more conservative approach to our expectations for the fourth quarter. Life Sciences grew 20% in the quarter on a constant currency organic basis. We had another strong quarter of capital shipments which grew 57% against relatively easy comparisons. Remember, in fiscal 2023, revenue for both capital equipment and consumables was shifted from the third quarter to the fourth quarter due to some supply chain constraints. Consumables grew 8% and service revenue increased 12%. As you're hearing from others in the space, short-term demand remains a bit murky and we continue to be optimistic about the long-term growth opportunities for this segment. Our Dental segment third quarter revenue declined 6% on a constant currency organic basis. Revenue is limited by reduced orders from a large customer due to a temporary disruption of their operations as a result of a cybersecurity incident they experienced during the quarter. Excluding that disruption, revenue would have been about flat in the quarter which reflects the decline in patient volumes. The lower volume, combined with the continued increases in material costs led to a decline in EBIT margin for the quarter. Turning to our outlook. Fiscal 2024 is shaping up to be another strong year for STERIS, albeit not exactly the way we had anticipated. In the last few years, if they've taught us anything, it's the value of our diversified portfolio. Time and time again, we have benefited as one of our segments outperforms to compensate for challenges elsewhere. We are updating our outlook for the year to increase revenue to reflect the continued outperformance of our Healthcare segment. For the year, we now expect total revenue to grow 10% to 11% on a constant currency organic basis -- I'm sorry and constant currency organic revenue growth of 7% to 8%, each up 100 basis points from our prior ranges. This assumes low single-digit constant currency organic revenue growth in the fourth quarter caused by the record-setting shipments in last year's fourth quarter. EBIT margins for the fiscal year will decline slightly from fiscal 2023, primarily reflecting the shift in operating income mix from AST to Healthcare. Adjusted earnings per diluted share are now anticipated to be in the range of $8.60 to $8.70 for fiscal 2024. We recognize this outlook includes some conservatism but believe it is warranted until we see the AST customer destocking abate and have additional clarity on bioprocessing volumes. That concludes our prepared remarks for the call. Julie, would you please give the instructions and we can begin the Q&A.
Julie Winter: Thank you, Mike and Dan, for your comments. Jamie, if you can give the instructions, we'll get started on Q&A.
Operator: [Operator Instructions] Our first question today comes from Patrick Wood from Morgan Stanley.
Patrick Wood: You guys still run one of the most efficient earnings calls of all time. It's much appreciated. I guess maybe starting with Healthcare. As you said, double-digit growth across kind of all three of the main verticals. I'd love to unpack that a little bit. I mean within the capital equipment side, I think last quarter was sort of 65%, let's call it, sort of replacement style projects and then roughly 1/3 kind of expansionary. Is that the same kind of thing you're seeing now? And should we expect that consumables line to remain pretty strong given the sheer amount of equipment you guys have been installing through this year if we look forward?
Dan Carestio: Yes. I'll take the consumables. Mike, if you want to take the capital. Patrick, what I would say is the consumables is a function of really two things. One is obviously, patient demand in terms of procedures. And obviously, at least in the North American markets, demand is up across the board in terms of volumes flowing through hospitals. And then the other factor on that is just the sheer number of placements that we put out there over the last year in terms of maybe a little bit of share gain.
Mike Tokich: And then on the capital side, obviously, you see that we continue to reduce our backlog levels which is getting us more to our more normalized historic lead times and continuing to meet customer demand. But included in that, we did have double-digit orders growth within Healthcare in the third quarter. So strong shipments in the quarter but also good outlook with that double-digit growth in orders for future.
Patrick Wood: Amazing. And then maybe just quickly on AST. I guess within bioprocessing, the companies there themselves struggle to forecast their own demand kind of famously. So I wouldn't want to necessarily put too much stock there. But the commentary seems generally more optimistic on the forward look, I would say, from some of the big players. Is that something that you think resonates with you as you move through the next few quarters, like things on the bioprocessing side get a little bit better? And then equally within AST, that -- how far through do you think we are in that inventory burn down given the procedure volumes have been so strong. I would have thought we don't have too long of that left. Is that fair?
Dan Carestio: Yes. We would have thought that too, Patrick. So what I would say is that we've seen the turn in the U.S. market, for the most part, in medtech destocking. And that's a function of the efficiency of the healthcare systems over here and procedure volumes up being up significantly. They've been able -- our customers been able to burn down that inventory a little quicker. In Europe, where there's still a lot of fits and starts in terms of medical procedures depending on the countries, we have not seen the burn down yet in inventory. And -- but inevitably, this can't go on forever. I mean eventually, those lines will cross. And then as it relates to the bioprocessing destocking, if we look over the long term, historically and going forward, with the exception of the blip that occurred for a couple of years during the pandemic, more than a blip to spike, it has been a very solid strong growth subset of products that we sterilize. And inevitably, I do believe that it will return to those levels of growth off of the reset number. The question is when do we get to that reset number? And as you've heard from many of our customers in their earnings and their outlook, they're taking a fairly conservative approach to the first half of the calendar year but believe that many of them will see meaningful growth in the high single digits in the second half. If that comes true, that will translate to volumes for our AST business.
Patrick Wood: Having been treated in both the U.K. and the U.S., I'm glad I live here from healthcare perspective.
Operator: Our next question comes from Brett Fishbin from KeyBanc.
Brett Fishbin: Just wanted to start off with a question on some of the margin dynamics. Understand the unfavorable revenue mix shift was the primary moving piece this quarter. But just wondering if you could give a bit more color on some of the previous key moving pieces around margins like productivity and cost inflation and how those have progressed into the back half?
Mike Tokich: Yes, Brett. The one thing we are missing that I did talk about, we've been talking about all year is the incentive comp hole that we had to refill which was about a $40 million headwind. The bulk of that, about $22 million of that was impacted in the third quarter. So that is a huge hole that we had to fill in Q3. On the more favorable positive side, we have seen price for the first time actually offset labor inflation. And we did see flat productivity. We had seen negative productivity as we were moving, as we talked about moving products, especially the capital equipment and touching those products several times in order to get them out the door in our manufacturing process. So we've actually seen an improvement -- significant improvement in productivity. I think productivity was right around negative 150, 200 basis points last quarter and it's flat this quarter. So very good movement there from a manufacturing standpoint. That just shows that from a supply chain standpoint, we are seeing our supply chain continuing to ease and doing a nice job of reducing our backlog and getting back to more normalized lead times.
Brett Fishbin: All right. Great. And then just one other follow-up, a little bit of a longer-term question around AST. Just wondering if you could provide a bit of an update around your progress in adding more X-ray sterilization capacity as an alternative modality across your network. If I'm not mistaken, you have a couple of locations already up and running. And I think there are some additional ones that might come online in the next few years. So just any additional details would be great.
Dan Carestio: Yes, sure. This is Dan. The two of the U.S. sites will come online this calendar year. That's in Chicago, Libertyville, Illinois area that is in testing phase now and should be running product in the next few months. And then the second one that will come online will be California, Ontario, California and that will be in the fall.
Julie Winter: And then outside of the U.S., we have several projects underway.
Dan Carestio: We do. Yes. I mean we have the Asian site coming online as well now. And then I don't -- I can't remember off the top of my head the pacing of a couple of the European sites but there's a few of those that will come online in the next 18 months as well.
Operator: Our next question comes from Jacob Johnson from Stephens.
Jacob Johnson: Maybe just one on margins to start. Just on AST margins, I think they declined sequentially on a similar revenue base. What was that mix? Was that incentive comp? Just anything you'd call out there? And any thoughts on how we should think about that into the fourth quarter?
Dan Carestio: A general comment, Mike, I'll let you add to it. We typically see some decline in Q3 and that's because of the holidays, right? So we're not -- there's not as many days of billing that goes on because customers have shutdowns often over the Thanksgiving week and over the Christmas holiday week between Christmas and New Year. So unless we're sitting on backlog in the factories, we tend to lose some time there. So as a result, it has an impact on margin. But that's a normal sequential trend that we see from Q2 to Q3. Unless there has been a few times in history where that has not -- we bucked that trend because bioprocessing volumes was through the roof or something. We had to run a burn-off backlog. But generally speaking, that's a normal thing you would expect. It's probably a bit exaggerated by the fact that we saw a much lower volume than anticipated in the European plants.
Mike Tokich: And we did have some cobalt loadings where we actually took our plants off of line for the quarter. I think we had six or eight cobalt loading. So that also hurt from a productivity standpoint which negatively impacted margins, yes.
Jacob Johnson: Got it. And then just maybe as a follow-up on the Life Sciences segment, obviously, strong performance. Dan, it seems like from your comments, some of that was just easy comps but you also kind of struck some maybe positive tone around the longer-term outlook there. I'm just curious kind of what you're seeing in terms of demand there as it relates to aseptic manufacturing clients because that's been in focus somewhat this week?
Dan Carestio: Yes. It's funny. In the Life Science business, when we ship in revenue product, that's really the anxious history for us because oftentimes, those are orders booked a year in advance. And we -- as you indicated, we had really fairly easy comparisons to our Q3 last year in terms of shipments. And then if you recall, we had a really nice Q4. So I think it's those two things. We're not ready to raise the flag yet in terms of a long-term view of what's going on in aseptic manufacturing demand. We know that the long term is a great outlook. But short term, there's still some destocking that's going on and there's still some pressure on big pharma right now. But in generally, long term, clearly aseptic drugs, injectable drugs, biologics, cell and gene therapy, all those type of things, all those markets we serve with sterilization type products and services are going to be in high demand.
Operator: Our next question comes from Michael Polark from Wolfe Research.
Michael Polark: Might be too early but I'd be curious for puts and takes as we move into fiscal '25. Penciling out the model here last night, see a path to 6% organic revenue growth, maybe a touch better pending AST and the historical STERIS posture on EBIT margin, 30, 50 bps of expansion and that feels fair for now. I just -- as you get ready to plan for next year, do you feel like the environment allows for -- I mean, at -- knowing there's portfolio puts and takes but at an overall STERIS level, do you feel like it sets you out to shoot for that normal STERIS algorithm? Or do you see it differently at this early stage?
Mike Tokich: Mike, your opening comment it's a bit too early for us to comment at this point in time. You answered your own question there a little bit. Obviously, we're in the middle of our planning process. We will, as we typically do, provide FY '25 guidance in May on our full year fourth quarter call. So that's where we stand right now.
Michael Polark: Had to try. AST -- I guess the AST question is two-part. Obviously, we see procedures are back. I mean medtech probably behaving well. You're saying the U.S. is good. OUS, still a little iffy. OUS, is there any kind of COVID product category that's still contributing to this? I'm thinking of PPE? Or is it just the European kind of procedure recovery is more sober and that's it?
Dan Carestio: That's it. It's specific to Europe, too, because we've seen pretty decent recovery in our Asia Pacific plants. So this is a predominantly European demand issue that's just well, not necessarily demand, its ability to deliver health care issue that's taking longer to burn down inventories.
Michael Polark: The second piece, it's just like large interventional multinational medtechs, I'm thinking hips, knees, stents, pacers, stuff like this. Are these customers telling you that they maybe have a little too much that need to be slower on ordering? Or are you just -- you're not hearing that and you're just...
Dan Carestio: That's the communication we get -- we've received from customers. We've had -- many say that they're burning down inventory as much as 40% from where their current levels were. That's a function of what happened during the pandemic and post pandemic and inventory in the supply chains and manufacturing and raw and everything got fairly bloated because of concerns around the surety of supply and that compounded with a reduction in procedure rates over and Europe is taking longer to burn it down.
Operator: And our next question is from Jason Bednar from Piper Sandler.
Jason Bednar: I'll start first, following up maybe on some of the prior questions on segment margins. I was going to take a stab at fiscal '25 but Mike already tried that. So I'll go a different route. It sounds on the margin side, like you're not too worried about the AST profit level. We saw third quarter is the seasonal low point. But is there anything structural keeping us from getting back to the upper 40% margin levels we saw in fiscal '22 and the first part of '23? Or are those just tough to match given the volume lift you were seeing at the time. And then similar question but on the other side, in Healthcare, how sustainable do you see segment margins in that segment? I think it hit a new high this quarter. Is the strength there simply a function of the consumables and equipment volumes you're seeing? Or is there any kind of uplift that's coming from the assets you acquired from BD.
Mike Tokich: On the AST side, it's all volume, Jason. This is a very high fixed cost base segment. The more volume we put through, the better opportunity we have to drive increased EBIT margin. So there, it's all volume. Dan, do you want to address Healthcare.
Dan Carestio: Yes. No, I don't see any fundamental changes really in Healthcare. It's that, once again, as long as our delivery rates stay up high, it should be fairly consistent, plus or minus a -- a bit different to one way or another from quarter-to-quarter.
Julie Winter: And BD is slightly incremental, Mike [ph].
Jason Bednar: Okay. I don't want to lead either of you but it sounds like Mike, you're saying nothing structural from getting from tariffs getting back to the upper 40s in AST. And Dan, you're saying nothing structural that would keep you from maintaining the margin level you're at right now in Healthcare.
Dan Carestio: Yes. Correct.
Jason Bednar: Okay. All right, great. And then over on Dental, I'm sorry, I probably have asked this a few different times now in consecutive calls, you've been reviewing internally the future plans for the asset. This was a weak quarter, part of that out of your control, you had Henry Schein cybersecurity attack. But I guess maybe two questions on those items. Can you say first, whether near-term trends have normalized following that cybersecurity attack and the kind of the resolution we've seen with that business and that issue? And then can you talk about the conversations you're having regarding the future for this segment, do you have a time line on when you'll announce the formal decision here?
Dan Carestio: Yes. I guess on the first, we have seen things normalize in terms of regular order base and whatnot. The challenge is a lot of that revenue kind of evaporated and get shifted into Q4 is at least is what we anticipate to some degree or found other venues to get to the customer which we don't really have the ability to track or fully understand. So we'll see what the outcome is of that more definitively this quarter. On the other question, we continue to look at the portfolio in general but no decisions have been made at this point. And as soon as we have something to update you and everyone else with on this matter, we will do so.
Operator: [Operator Instructions] Our next question comes from Mike Matson from Needham & Company.
Michael Matson: I just want to ask one on use of cash. So I think you've done a fair bit of M&A. I don't recall any recent share repurchases but maybe I'm forgetting one. But can you maybe just give us an update on your kind of priorities and whether or not you'd be willing to kind of come in and do some share repurchasing?
Mike Tokich: Yes, Mike, our capital allocation methodology process has not really changed over the last decade plus. We did, if you remember last year in the fourth quarter, we did -- we were opportunistic in share repurchase. We bought about $225-ish million of shares. We have not purchased any in FY '24 to date. We've actually been focusing more on paying down debt since rates are higher. We feel there's value in paying down debt. So all of our excess cash has been going towards debt repayment which has driven our leverage ratio even with the BD acquisition, we're at 2.2x gross leverage. So that's been our focus.
Michael Matson: Okay, got it. And then, I believe you've been able to get a little more pricing in recent periods. How sustainable do you think that, that rate of price increases as we see inflation kind of slowing down here a bit.
Dan Carestio: Yes, I think that to some extent, our ability to justify putting through price increases with customers has to be some basis of cost. And as costs can normalize in certain areas, there will be a market trend towards less price grab, I guess, what I would say.
Michael Matson: Okay. And then finally, the last one on the outlook for tax rate with Pillar Two. I mean your rate is kind of well above that 15% level. But do you expect any sort of impact there to your tax rate?
Mike Tokich: Mike, nothing material from Pillar Two, if and when it does get implemented.
Operator: Our next question comes from Dave Turkaly from JMP Securities.
David Turkaly: Bouncing around a bit, you may have talked about this but I wanted to just ask quickly. Any update on that radiation sterilization master pilot program, like in terms of participation or anything we should assume. Anything you've learned or anything you think we could look at in terms of how that might impact things moving forward?
Dan Carestio: Yes, Dave, this is Dan. It's been very positively received by the customers and also by the regulators with the agency, FDA and we're excited about the program because it does sort of create a lower regulatory barrier, switching barrier for our customers to have more supply chain flexibility when changing different modes of sterilization. So this is something that we felt was important to offer up to the industry and work with the FDA to get that approved. So that there was much more flexibility at a time a couple of years ago when everybody was exposed and challenged. So no material impact in the short term here. Do we expect -- but I think that longer term, it's a great program for us and bodes well for our customers.
David Turkaly: And then just quickly as a follow-up, when you look at like EO, if they're transferring from that, like -- is the margin profile much different via the different modes in AST that they might switch to?
Dan Carestio: Not really, no.
Operator: And our next question is a follow-up from Michael Polark from Wolfe Research.
Michael Polark: Healthcare capital, as I kind of run -- review the numbers or the fresh set of numbers. And I know -- so that how you manage it? You have customers waiting for product and you want to ship as quickly as possible? But I kind of see the makings of a soft landing here for Healthcare capital revenue in '25. There had been a fear that it might likely be down as you kind of improve lead times and conversion rates. But again, I kind of see this kind of Goldilocks scenario where growth decels for sure but assuming orders continue at these current levels, you're still growing Healthcare capital revenue in fiscal '25. I know you don't have guidance out there but I'm curious what you think of my theory?
Dan Carestio: I love your theory and I hope it plays out that way.
Michael Polark: Okay. I had one other follow-up. Cobalt 60, I heard the comments on maybe a little bit of downtime from loading and we obviously know that Nordion was exceptionally calendar 4Q weighted in terms of deliveries in calendar '23. Is there some element that now that you're back to like full strength at those plants, the gamma network speeds up in the short run. I'm just curious how that actually works.
Dan Carestio: It does but we have to have the volume is the issue. So we needed to take the cobalt because we've gotten to a deficit position in many of those plants because it's been for some of them over a year since they last loaded. But it doesn't -- it should not have a material effect unless we get more volume than we anticipate. And if we do, we'll be able to run it because we'll have more capacity.
Operator: And ladies and gentlemen, with that, we'll be ending today's question-and-answer session. I'd like to turn the floor back over to management for any closing remarks.
Julie Winter: Thanks, Jamie and thanks, everybody, for taking the time to join us this morning. We look forward to catching up with many of you in the coming weeks.
Operator: And ladies and gentlemen, with that we will conclude today's conference call and presentation. We thank you for joining. You may now disconnect your lines.